Operator: Good day and welcome to the StealthGas Inc. second quarter and first six months 2010 financial results conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to your host today, Mr. Harry Vafias, president and chief executive officer. Please go ahead sir.
Harry Vafias: Thank you and good morning everyone. Welcome to our conference call and web cast to discuss the results for the second quarter and six months ended June 30, 2010. I'm Harry Vafias, CEO of StealthGas, and I would like to remind you please that we'll be discussing forward-looking statements in today's conference call and presentation. Regarding the Safe Harbor language, I would like to refer you to slide number one of this presentation, as well as to our press release on our second quarter and six months 2010 results. With me today is Andrew Simmons, our CFO. If you need any further info on the conference call or the presentation, please contact Andrew or myself. Slide number two. Our primary objective continues to run a highly efficient and modern fleet on secure employment contracts with first class charters that serve a very specific niche market. Our core LPG fleet has no correlation whatsoever to most other shipping sectors, so we continue to be both disappointed and surprised that our stock seems to continue to trade in tandem with the share movements of companies whose vessels trade in sectors completely unrelated to ours. During the second quarter of 2010, we completed the sale of the final three of the five older gas carriers in our fleet that we have contracted to sell by May of this year. I am pleased to confirm that the majority of these sales were concluded at prices very close to the vessels' book values. These vessels have made our fleet more efficient, thus as several of these vessels may have operated for this year at least, in what continues to be a relatively soft spot market, by moving them from the fleet I believe it will improve the overall performance of the company. And as we have seen, their removal has already resulted in improvement in the average time charter equivalent rate achieved by the fleet, compared to the second quarter and first half of last year. We have no further scheduled deliveries of ships until the first quarter of '11 and as we have previously highlighted, the circa $11 million of states payments during 2010 for the five Handysize LPG carriers we have on order we will meet comfortably from our internally generated cash flows. After taking into consideration the total fleet of 37 ships, at the end of the second quarter 2010 our net debt to capitalization ratio stood at 43%, which [unintelligible] our employment charter profile and overall quality of our charters continue to underpin the financial stability of the company. Our third objective has been to secure and maintain a visible revenue stream with stable and predictable cash flows. At the moment, fixed employment for our fleet for 2010 stands at about 70% of available days. We have about 35% already covered for '11. As we have announced during both the first and second quarters, we have secured some attractive period business for our fleet. We are in the final stages of securing some medium term charters for three more of our vessels. Although we would really prefer to have more vessels fixed at attractive rates on a period basis, in some sectors, particularly in regard to our [unintelligible] of ships this remains challenging. We are hopeful, though, that the period market will tighten and therefore we prefer to keep some of our vessels in the spot market so we can take advantage of improved time and available charter rates if they materialize later in the year. As you will have seen from our results for Q2 our time charter equivalent rate was about $7,000 per vessel, per day, compared to about $6,600 in the corresponding quarter last year, which represents an increase of about 5%. While this improvement was both welcome and encouraging, we continue to face challenges in the near term from a trading standpoint, as we have a higher number of vessels trading in the spot market than was the case between 2005 and 2008. We have also again included an adjusted time chart equivalent on a blended basis in our slide presentation for both the gas carriers and the product tankers, as none of our vessels were on [available] charter. This not only gives you a more realistic figure in terms of the average time charter equivalent achieved by our fleet, but has also adjusted the vessel operating expense line [unintelligible] in the presentation as if we were to be responsible for the operating expenses of all the vessels in our fleet. On this basis, the daily TCE was $7,835 in Q2 2010 against $7,857 at the same time last year, a reduction of only $22 a day, underlying the steadiness of this fleet. The second and third quarters of each year are traditionally the two softer quarters for our company in terms of seasonal trade, and therefore it's encouraging to see the relative stability in the average rates achieved by the fleet for the second quarter on a year on year basis. Most importantly, I'm pleased to report that yet again we continue to remain comfortably above our net income breakeven level, as we will discuss later in the presentation. We currently have five of our LPG vessels, our three product tankers, and one brand-new Alphamax tanker on bareboat charters, which are the most secure in terms of operational risk, plus we are protected from such expenses as bunkers, crew and insurance costs, as these and all other expenses are for the bareboat charter's account. However, [unintelligible] has been a significant reduction in the number of vessels trading on a bareboat basis as compared to last year and earlier in the company's history. Our fourth goal has been to own and operate a modern fleet of gas carriers and in this respect our average age as of today is about 11 years, not including the tankers, and the five brand new gas carriers that we are contracted to acquire between February '11 and April 2012, compared to an industry average of about 22 years. We continue to believe that within our core sector this gives us a competitive advantage and that this factor will be important as we move forward into the latter part of 2010 and beyond, when, as we will discuss later, there is an expected contraction in the overall size of the Handysize LPG fleet, unlike any other active shipping sector. Our fifth objective has been to maintain close customer relations. The quality of our customer relationships is exemplified by our continued consistently high fleet utilization and the quality of our charters, which also lowers our counterparty risk. I am pleased to say that to date we continue not to have any issues in terms of charters performance. Our sixth goal has been to maintain cost-efficient operations. I am pleased to report yet another good performance in Q2 of 2010. Our net income breakeven level per vessel, per day, excluding losses on derivatives, remained unchanged at $5,523 per vessel, per day, compared to the previous quarter. Although on a year on year basis, excluding losses on derivatives, our daily net income breakeven did increase from $5,556 in Q2 '09, compared to $5,962 in Q2 of this year, due to primarily an increase in depreciation expense per vessel and higher operating expenses per vessel as a consequence of the reduction in the number of available charter vessels. For the half year our daily net income breakeven also increased from $5,557 in 2009 to $5,734 this year, again primarily due to increased depreciation expenses. We continue to concentrate heavily on managing our cost base and based on these results, these efforts continue to preserve the profitability of the company at a time when we continue to trade in a relative flat environment. Finally, with regards to our stock repurchase program, I can report that as of the close of business Friday the 20th, the number of shares we have purchased totaled 1,205,229 shares. Slide number three. This slide demonstrates the development of our fleet. By the end of the second quarter of '10 we had a fleet of 34 gas carriers and 3 product tankers, thus continuing to be number one in the Handysize LPG segment. Today we continue to own 34 gas carriers and by the end of 2010, as currently structured, we will own the existing 34 ships plus 3 modern product tankers, plus the one brand new Alphamax oil tanker that we took delivery of in July, and was immediately deployed on a five-year bareboat charter. StealthGas continued to hold the number one ranking in owned vessels in the 3,000 to 8,000 CBM segment. We continue to believe this segment of the LPG space has strong fundamentals, coupled with relatively stable charter rates, as we will be demonstrating, plus, the sector has a favorable order book and fleet growth outlook compared to the other size segments in the LPG sector and very significantly many other asset classes of shipping. Slide number 4. This slide shows you the fleet employment profile and provides you with the earnings visibility for each of our 38 current ships. At the bottom of the employment profile chart we have included the percentage of voyage days fixed. This enables you to assess the stability and predictability of our earnings. As you can see 68% of voyage days are fixed for 2010 and 35% for 2011. We now turn to the financial highlights of the second quarter and half-year results, so I will pass you on to our CFO, Mr. Simmons.
ndrew Simmons: Thank you Harry, and good morning everybody. With slide number five we now turn to the financial highlights for the second quarter and the first half of 2010. With an average of 37.6 vessels owned and operated in the second quarter of 2010, we realized net income of $4.1 million on voyage revenues of $26.9 million, and we produced an EBITDA of $12.2 million. For the second quarter of '10 we reported a loss of $200,000 on interest rate swap and currency heading arrangements, which included an unrealized noncash profit of $1.2 million on currency heading arrangements and a realized cash loss of approximately $1.4 million on interest rate swap arrangements, plus a gain on the sale of vessels of $1 million and a $50,000 noncash provision for restricted stock deferred base compensation. Excluding these noncash items, our net income was $2.9 million, or $0.13 per share, calculated on 21.8 million average shares outstanding. Our net debt to capitalization stood at 43% at the end of Q2 2010. We continue to believe that maintaining our leverage at moderate levels is important. Following the acquisition of the MT Spike in July, as currently structured, no further debt will be incurred by the company until early 2011, when delivery of the five new LPG vessels commences. We now turn please to slide number six. This slide provides you with an overview of the development of our income statement for five consecutive quarters. In comparing our results from the second quarter of 2009, when we had an average of 41.2 vessels in our fleet, to the second quarter of this year, when we had an average of 37.6 vessels in the fleet, revenues decreased by just 0.2%. EBITDA decreased by 16.4%, but increased by 23.2% over the first quarter of this year, and our earnings per share, excluding noncash items, was $13 per share compared to $15 per share in the same quarter last year. Turning now to slide number seven, these are our operating highlights for four prior quarters, the second quarter of 2010, plus our full-year figures for 2008 and 2009. In terms of fleet data in the first quarter of 2010, we owned and operated an average 37.6 vessels. Total charter days for the fleet during the second quarter of 2010 were 2,454, and we also had 907 total spot market days. This compares to 743 spot days in the same quarter last year. In terms of average daily results per vessel for the second quarter of 2010, we achieved the time charter equivalent of $7,835 per day per vessel on the adjusted basis, compared to $7,857 per day per vessel in Q2 of '09, and $7,989 per day per vessel in the prior quarter. Vessel operating expenses per day on the adjusted basis, i.e. no vessels on bareboat charter, were $3,684 per day, compared to $3,868 in Q2 '09 and $3,513 per day per vessel in the first quarter of this year. We continue, as we have just discussed, to be relatively pleased with this performance in the day to day running expenses. The measures we instigated both last year and into this have helped to defray to an extent the effects of the softer spot market and some commercial downtime. With slides number eight and nine, we now turn to the financial highlights of the first half of 2010. With an average of 39.3 vessels owned and operated in this period, compared to 41.2 in the first six months of last year, we realized net income of $5.8 million on voyage revenues of $55.6 million and produced EBITDA of $22.1 million. For the first half of 2010 we reported a loss of $3.5 million on interest rate swap and currency hedging arrangements, which included an unrealized noncash loss of $300,000 on currency hedging arrangements and a realized cash loss of approximately $3.2 million on interest rate swap arrangements, plus a gain on the sale of vessels of $1 million and $100,000 noncash provision for restricted stock deferred base compensation. Excluding the noncash items discussed, net income was $6.2 million, or $0.28 per share, calculated on 22 million average shares outstanding. The net debt to market value of our existing fleet at the end of the first half of 2010 stood at 51%, which we believe is among the lowest of the U.S. listed shipping companies and underlines, in our opinion, that our prevailing stock price continues, as we have discussed previously, and as we will later, to undervalue the company. We now turn to slide number 10. As we already have discussed, we continue to try to run our fleet in a very cost effective manner, concentrating extremely hard on operating our ships efficiently and safely. Our vessel operating expenses in Q2 of 2010 increased by 5.3% over the same period last year, when we had four more vessels on average in the fleet, and a higher number of vessels on bareboat charters than the second quarter of this year. So on a cash flow basis, our daily breakeven per vessel for the second quarter of 2010 was $6,275 per day per vessel if we deduct the realized loss on derivatives compared to $5,739 per day in Q1 of 2010. What is encouraging, from a cost standpoint, is if you turn back to slide seven, is that our total vessel operating expenses per day for Q2 2010 were lower than the corresponding quarter last year and just 6% higher than all of 2009. On a net income basis our daily breakeven per vessel net of realized cost on derivatives was $5,963 per day in Q2 of 2010, compared to $5,523 per day for the first quarter of 2010, an increase of $44 per day per vessel, or 8%, due primarily to an increase in depreciation expense and direct operating expenses as a consequence of the decrease in the number of ships in bareboat charter. We now turn please to slide number eleven. Using the input given on this slide our shareholders can estimate our financial performance for the remainder of 2010. The slide provides you with the revenues you already have secured as of today until the end of this year, based on contracted revenues under time and bareboat charters. Total contracted revenues to date are $96.8 million, which is 85.6% of total 2009 revenues, plus we have the variable and revenues to be generated by those of our vessels with days that are not yet contracted for in the remainder of 2010. We have provided you with that number of days, 2197, as the fleet stood at the first of July 2010, so you can input the rate that you wish to assume our average vessel not yet chartered would run the remainder of 2010 and you can calculate our projected performance for this year. Thank you very much for your kind attention. I'll now hand you back to Harry for some further comments.
Harry Vafias: Slide number 12. This slide illustrates the volatile freight markets over the past eight years for the medium size and large size gas carriers. In comparison, midsize and smaller semi-ref and fully pressurized vessels, our core sector, have experienced a much lower volatility and until recently, steady growth in freight earnings from mid '05 onwards and a mild recovery in one year charter rates in the sector is evident. It's clear from this data that the type of ships which form the core of our business and that are far removed from dry, wet or the container markets have, over the past eight years, not experienced the wild fluctuations and rates that these average shipping sectors have seen and we are hopeful that this relatively nonvolatile trading pattern will continue as I believe we proved during a challenging 2009, and so I report our results for the first half of 2010 that we are discussing today. This point is further emphasized by [inaudible] year 2000 between the dry bulk crew tankers and the 3,500 cbm fully pressurized gas carriers and 3,200 semi-refs LGP vessels, which are typical of the majority of our fleet. As you can see, based on the mean average for these sectors, over the quite extended period, the level of volatility is far higher in the dry and wet spaces in our core segment. It is the continued expectation that the supply of product will increase during 2011 and beyond, plus the [unintelligible] expectations continue to be steady, particularly in the Far East and the developing world. Therefore, we continue to believe that the outlook of our core market is encouraging. We will continue with the contracted acquisition during 2011 and 2012, or five brand new gas carriers will in the meantime which have already commenced, to [unintelligible] reduce the number of some of our smaller and older vessels in the fleet. This trimming will not only keep our fleet in terms of age at the forefront of the market, but the proceeds from these sales have already enhanced our already strong liquidity position and reduced our debt level, which was already quite conservative. In addition, some of our increased liquidity has been utilized to repurchase some of our common stock, and will also be deployed to selectively expand the company if attractive opportunities are found. Slide 13. This slide illustrates the freight rate evolution for 12 months on charters for our market. The figure, based on independent estimates, ballooned since the [unintelligible]. As you can see highlighted in yellow, this segment continues to be, as we have just discussed, characterized by relative stability. One year time charter rates have been reasonably steady, and the independent forecasts for the third quarter of '10 is that rates will be similar to those currently being obtained. These projected rates, though down what we were achieving earlier in the company's history, though welcome, do not in any way push the company toward a loss-making situation from a trading standpoint, as we've proven throughout 2009 and the first half of this year. Slide 15. We continue to believe that the forecasted minimal fleet growth for the [unintelligible] LPG sector of this year, the negative fleet growth in 2011, at a time when several large national gas projects are due to come on stream, gives a [unintelligible] positive outlook for our core sector. Our expectation of the supply of gas product that must be shipped at this time will increase. We continue to believe that this supply demand access is very encouraging for our company, and is a virtually unique situation within the shipping industry, particularly given the order books situation that has been faced by many of the other sectors of shipping today, and the mixed outlook for the world economy, particularly in the area of discretionary spending. We now turn to slide 16. I have included this slide to reemphasize the point I've just made. It refers to the different order books outlook for the LPG sector as opposed to the more mainstream sectors of shipping. I should add that the figures shown here in the graph are for all LPG sizes, as we have just discussed, and not only for our own [unintelligible] size sector. Last, I'll just discuss the overall size of our specific fleet sector is projected to decline during 2010 and 2011, which given our market-leading position should be a positive factor for the company. Slide 17. We have included this slide now for the past four quarters, taking a sample of different types of listed shipping companies and making a comparison of their price to net asset value compared to ours. We have also included a comparison of the price to earnings ratios to further under line our point. As you can see from the slide, based upon data made available to us recently, we seem to continue to present a very attractive prospect to investors when benchmarked against these companies, who do not benefit from the same core fundamentals that we have been discussing. To my view, on this basis, at least as I highlighted earlier, our comparatively low debt to market value level will continue to be valued inappropriately by the market and StealthGas, in my view, continues to be an attractive company to invest in based upon these valuations and the outline that we have discussed here today. To summarize, the company is in good position to take advantage of improvements in our market and also opportunities as they present themselves going forward. Plus, if the world does not move back into recession or a strong financial base, we have demonstrated the steadiness of our core sector and the contributive employment profile of our tanker fleet will be a good defense against any possible downturn. I would also like to stress again that we have not needed to issue any [derivative] equity or undertake any high-yield financing during the challenging period. We have [unintelligible] expensed over the last three years or so and that the company remains operationally profitable and able to constantly meet its ongoing obligations. Finally, as announced in March, we have commenced a share repurchase program, which today totals about 1.2 million shares. We believe that the sale of several ships at prices close to their book value and invested some of these proceeds in our stock, which continues to trade at close to 60% discount over NAV, will also prove over time to have been a sound deployment of our capital. We have now reached the end our presentation. We would like to open the floor for your questions, so please, operator, open the floor. Thank you.
Operator: Thank you gentlemen. [Operator instructions.] And we'll take our first question from Natasha Boyden from Cantor Fitzgerald. Please go ahead.
Natasha Boyden – Cantor Fitzgerald: Harry, you mentioned in the release, and during your prepared comments, that you believe the fundamentals in the LPG sector are improving and getting better. Can you talk a little bit about why you think that's the case and what are you actually seeing on the demand side that makes you more optimistic? Or is it more of a supply equation?
Harry Vafias: At the moment we are not seeing much. We are seeing a bit more interest on the period side for 2011, which is a very positive sign. Charters and traders and national gas companies are getting interested to get their hands on modern vessels for next year, so something must be going on. Secondly, as you have seen on the graph, there is a negative fleet growth for next year, which I guess is very good news, especially for us, that we have a modern fleet. And thirdly, it all depends on in the winter, again, if it's going to be a cold winter or not, so I guess we'll have to see what will happen from, let's say, October onwards.
Natasha Boyden: Okay, great. And then just moving to your new builds. Are all those on track to be delivered on time? Do you foresee any potential delay deliveries at all, or even a [unintelligible] from that?
Harry Vafias: As you know very well, Japanese shipyards never delay by even one day.
Natasha Boyden: Okay, all right. So they're not going to be early, they're not going to be late, they're just going to be exactly as you forecast?
Harry Vafias: Unless there is, you know, damage or something that could damage the ships. I think they will be right on time.
Natasha Boyden: Okay, and maybe Andrew you can help with this. What is the remaining cap ex requirements for '10 and '11 for those ships. Do you have all the financing in place for them?
ndrew Simmons: We've just begun negotiating with a large number of banks in regard to the potential financing of these ships and we're very pleased to have seen the level of interest that we've had from the banks. So we'll be finalizing that over the next three to four weeks. In terms of the cap ex that's required, as we've discussed a number of times before, we're only looking for post-delivery finance on these ships. We have sufficient cash to meet the stage payments that are required on those ships as they come to delivery, four in 2011 and then the last one in May of 2012.
Natasha Boyden: Okay, all right, great. That's very helpful. Lastly, just really want to focus on how you gave us some pretty good information on your strategies so far, but going forward, LPG asset values - where are they in terms of your view? Are they attractive or not? Are they still not - still haven't come down to a level where - or there isn't enough availability for you to look at - or would you look at other sectors and continue to look [unintelligible] product. 
Harry Vafias: When you trade at the 60% to NAV then the best strategy is to sell ships and buy stock.
Natasha Boyden: Okay, all right. Thanks very much. And then how many of - do you have any older ships left that you'd still want to sell, or have you pretty much finished there?
Harry Vafias: We have another three or four, it all depends on what price we might fetch. But if we fetch a reasonable price we would sell them, yes.
Operator:
Operator: [Operator instructions.] And we now have a question from Jeff Geygan from Milwaukee Private Wealth Management. Please go ahead sir.
Jeff Geygan - Milwaukee Private Wealth Management: Given your share buyback program in place and the apparent lack of any recent purchasing, say within the last 60 days, is there the possibility that you're preserving cash right now for something other than the new build program, which may be opportunistically looking for additional capacity?
Harry Vafias: You hit it right in the spot. You are 100% correct. We wait to finalize the financing arrangements for the five year buildings depending on what percentage we're going to get from the banks, then we will either restart purchasing shares or we're going to see there's something better to do with the money. I think that if nothing changes in the marketplace, we will continue buying back stock.
Jeff Geygan: Great. And what kind of time frame should we be thinking about in terms of your either going to the market to purchase more stock or potentially announcing further fleet acquisitions?
Harry Vafias: Maximum 60 days.
Operator: [Operator instructions.] And we have a question from Jason Selch from Providence Capital. Please go ahead.
Jason Selch - Providence Capital: Yes, I was just wondering on the acquisition of the tanker that was announced in June, how much equity did you have to contribute into that ship and what's the expected internal rate of return of that investment?
Harry Vafias: One minute, because we're calculating on the spot. One sec. About $11 million in cash we put.
Jason Selch: Okay, and what kind of return do you expect to get on that?
Harry Vafias: I think it's between 8% and 10% but obviously since it's a new building it has a very long life. It all depends on what will happen in the end of the current bareboat charter, meaning if the market is good, obviously you can get a much higher rate and obviously return will go up and of course if the market is bad for Alphamax tankers in 2015 the opposite. So it's a bit of a guess.
Operator: And we'll take a question from Mr. Sean Milligan from Johnson & Rice. Please go ahead.
Sean Milligan - Johnson & Rice: I know earlier you mentioned that you were seeing a pickup in 2011 period demand, but could you talk a little bit about your expectations for spot demand over sort of the second half of 2010?
Harry Vafias: As I told you, it all depends on the winter time, and there's always a pickup in the autumn and the winter. Sometimes it's 5%, sometimes it's 15% on the spot side. We don't have any clues yet, but as I told you the positive thing is that since more and more charters are coming and asking for ships for 2011 then that probably means that the spot market for 2011 will definitely be stronger than it has been in the last 12 months.
Operator: [Operator instructions.] Gentlemen, we currently have no questions on the queue. 